Operator: Good day, ladies and gentlemen, and welcome to the Motorcar Parts of America Fiscal 2012 Third Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 I would now like introduce our host today, Mr. Gary Maier of Investor Relations. Sir, please go ahead. 
Gary Maier: Thank you, Karen, and thanks, everyone, for joining us for the call today. Before we begin, and I turn the call over to Selwyn Joffe, Chairman, President and Chief Executive Officer; and David Lee, the company's Chief Financial Officer, I'd like to remind everyone of the Safe Harbor statement included in today's press release.
 The Private Securities Litigation Reform Act of 1995 provides a safe harbor for certain forward-looking statements, including statements made during the course of today's conference call. Such forward-looking statements are based on the company's current expectations and beliefs concerning future developments and their potential effects on the company. There can be no assurance that future developments affecting the company will be those anticipated by the company. Actual results may differ from those projected in the forward-looking statements.
 These forward-looking statements involve significant risks and uncertainties, some of which are beyond the control of the company and are subject to change based upon various factors. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For a more detailed discussion of some of the ongoing risks and uncertainties of the company's business, I refer you to the company's various filings with the Securities and Exchange Commission.
 I would now like to begin the call and turn it over to Selwyn Joffe. 
Selwyn Joffe: Thank you, Gary. I appreciate you joining us today for our fiscal 2012 third quarter conference call. I especially want to thank you for your continued patience and support as we completed the company's fiscal 2012 third quarter 10-Q, which will be filed this afternoon. We are now caught up with our quarterly reporting and look forward to issuing on schedule our results for our fiscal year end March 31 by mid-June.
 Notwithstanding results for the quarter and 9 months, our transition initiatives related to the Fenco acquisition are progress -- are progressing. Given the delay in filing our first fiscal third quarter results, it's important to recognize that our progress with regard to the Fenco transition is not really reflected in today's financial results. 
 As of today, we have already instituted changes to the Fenco model, which will result in enhancing profitability by $16 million. A portion of these benefits started in February and will be phased in to the end of the third quarter of fiscal 2013. Majority of the costs related to these initiatives have already been expensed as of December 31, 2011. In addition to these costs identified, there will be initiatives undertaken that will further reduce costs. These expenses related to these initiatives will be recognized when these initiatives are implemented. 
 As of today, we have vastly improved product fill rates for the under-the-car product line. We have closed and restructured various product lines for this business segment and are selling down remaining inventory in these lines. We have made significant progress in restructuring our warehouse and freight arrangements. We have started to effectively move the selling price point up in key categories, which will start to be reflected in the third quarter of this fiscal year. We are diligently working in this regard on all categories and refining our product offerings to be industry-leading and rationally priced. 
 We have begun working hard on efficiencies throughout the Fenco organization. With respect to production efficiencies at Fenco, since peak employment in October of 2011, we have reduced headcount by 560 people from our Monterrey, Mexico facility and our discontinued facility in New Hampshire. We have enhanced productivity and through our implementation of Lean manufacturing principles, we should see continuous improvements. 
 In addition, we have restructured our warehousing agreements effective February 1, 2012, and have also begun to eliminate cost from our distribution model. We have substantially reduced our selling expenses and are continuously evaluating the Fenco operating model. 
 With respect to sales, we continually are updating our product mix and pricing and believe that starting in the third quarter of fiscal 2013, we should see a greatly enhanced profitable product mix. Other initiatives underway include our ERP integration, adding key product category management people along with enhanced cataloging capabilities, and implementing additional cost sorting improvements. We have improved our quality systems. We are focused on implementing the MPA model at Fenco. 
 Equally important, we have significantly improved our capital resources. Liquidity levels for MPA are as follows: We currently have cash of approximately $35 million and an undrawn revolver for $20 million. We are also encouraged that the bank for Fenco continues to be supportive of our efforts to restructure Fenco. We are now in a position where we can downstream $20 million to Fenco. We have made solid progress in terms of enhancing customer satisfaction, and we continue to focus on sales growth and achieving a rational cost structure. 
 In a few moments, David will walk you through some of the key financial indicators related to the Fenco transition, which we discussed in detail in today's earnings release.
 As highlighted in today's release, excluding Fenco's operating results and certain other related expenses discussed in our release, earnings per share would've been $0.20 per diluted share for our rotating electrical segment. Despite the fact that numbers for the rotating electrical business was soft, our rotating electrical business is very solid. We're continuing to experience sales increases from our existing customers, and expect this to continue based on market metrics. In addition, we have secured a nice complement of new business that will further enhance our growth and profitability in this segment. This business -- this new business began shipping in our fiscal 2013 first quarter, which is in fact this quarter. Our fill rates quality and customer satisfaction remain exemplary. Given the recent delayed filings, we have a unique vantage point on our year end numbers and expect to report record sales and profits for our fiscal 2012 fourth quarter ended March 31, 2012, for our rotating electrical segment. We expect this momentum to continue and produce good results for this fiscal year.
 Both the rotating electrical and the under-car product segments benefit from the strong market dynamics of the aftermarket business, particularly as I've noted many times, the aging vehicle population with the average vehicle age of 11 years old. In addition, we are particularly excited with growth in both our brake and driveline business in which we see strong opportunity for double-digit growth from existing customers. We remain focused on being a supplier of components that are critical to the vehicle's operation. As a result, we should see additional benefits to our business, particularly as we get closer to realizing the positive contributions from our efforts to improve the performance of the under-the-car product segment. 
 As I've stated many times, our financial strength, manufacturing excellence and value-added customer service remain the cornerstone of our success, and we expect to leverage these qualities and our organization's systems to produce solid growth and profitability in all product segments. We remain excited about our overall growth opportunities. 
 In short, our base business is strong despite a soft third quarter, and we will continue to capitalize on our competitive strengths for the benefit of both rotating electrical products and the under-the-car products.
 For those of you new to us, there are numerous qualities that distinguish Motorcar Parts of America, qualities that will serve us well moving forward as we integrate and grow our Fenco operation: our low-cost production model and reputation for quality; our ability to produce and ship product efficiently with fill rates unsurpassed in the industry; available capacity to increase production with little incremental cost in our various product lines; our ability to leverage our overall production and overhead absorption; an international footprint that allows us to take advantage of international opportunities; the ability to attract new business and maintain long-term customer relationships. As I mentioned during our last quarter call, both Motorcar Parts and Fenco serve many of the same customers, and there are numerous synergies on which we can capitalize, which will be beneficial to us, as well as our customers. Areas such as offshore production and management systems, product deliveries, streamline ordering, product education programs, sales training and the like are important value-added considerations. We are committed to rational pricing and continuously evaluating the company's cost structure and our entire operating metric. We continue to focus on annual and long-term growth and profitability, and we expect that discipline will greatly enhance the Fenco business moving forward.
 David will now discuss our financials, and then I will then make some additional comments followed by a Q&A session. 
David Lee: Thank you, Selwyn. As mentioned in MPA's fiscal 2012 third quarter earnings release this morning, results of operations for the period ended December 31, 2011, were impacted by the operations of Fenco, which is the under-the-car product line segment, as the integration strategy progresses. The negative gross profit for Fenco was primarily a result of higher returns as a percentage of sales following strong sales in the second fiscal quarter, legacy aggressive product pricing, higher customer allowances being provided and high manufacturing cost due in part to the under-absorption of overhead on lower production levels. As we integrate the Fenco business, we are addressing pricing and the efficiency of all of our operations, including production, warehousing and logistics as part of the turnaround strategy for Fenco. 
 We have already made progress in each of these areas. In addition to the overall negative contribution on our under-the-car product line sales, our gross profit was also significantly impacted by our decision to close the production facility related to the CV axle product line in December 2011. The negative gross profit impact of the closure was $5.5 million for the third quarter. Of course, this closure will result in enhanced overall margins moving forward. We will further discuss below the impact of the gross profit for the under-the-car product line segment of prioritizing customer fill rates, including premium inventory purchases and freight expenses. Additionally, we'll further discuss the impact of a loss on other product lines not supported, additional product production cost, contractual customer penalties, unique current period customer allowances and rebates, noncash purchase accounting, inventory step-up adjustment and nonrecurring professional fees related to the integration. While in the middle of the integration process for Fenco and the under-the-car product line segment, and as Selwyn mentioned earlier, MPA's base business in the rotating electrical segment continues to be strong. 
 Rotating electrical net sales for the 9 months ended December 31, 2011, was a record high $128.5 million and EBITDA adjusted was $23.0 million for the 9-month period. The rotating electrical segment anticipates reporting record sales and earnings for the fourth quarter and fiscal year ended March 31, 2012.
 As we will further discuss later, subsequent to the third quarter ended December 31, 2011, in January 2012, MPA entered into a new financing agreement, including a $75 million term loan, and an asset-based revolving credit facility of $20 million. Post closing of the new MPA credit facility on January 18, 2012, MPA's cash balance was approximately $24 million, with 0 borrowings on the revolving credit facility for net borrowings of approximately $51 million. Subsequently, as fiscal year ended March 31, 2012, MPA's cash balance was approximately $32 million for the $75 million term loan and 0 borrowings on our existing $20 million revolving credit facility, resulting in net borrowings of approximately $43 million. 
 We will now review the financial results for the period ended December 31, 2011. Net sales for the fiscal 2012 third quarter ended December 31, 2011, were $84.1 million compared with $41.3 million for the same period last year, an increase of $42.8 million or 104%. The increase in consolidated net sales was due primarily to our May 6, 2011, acquisition of Fenco, which resulted in additional net sales of $42.2 million, or 102.2% and an increase in net sales of $607,000 or 1.5%, primarily to existing customers in our rotating electrical product line. 
 Negative gross profit for the fiscal 2012 third quarter was $2.4 million or negative 2.8% gross margin compared with $13.2 million or 31.9% gross margin for the same period a year ago. The gross profit percentage in our rotating electrical product line decreased to 30% from 31.9% during the 3 months ended December 31, 2010, due primarily to our customer purchasing and return patterns, partly offset by lower manufacturing cost. 
 Productivity in our rotating electrical and manufacturing facilities continues to be excellent. During the 3 months ended December 31, 2011, gross profit percentage in the under-the-car product line segment was impacted 25.1% by recording of contractual customer penalties of $292,000, intersegment cost of $241,000, premium cost inventory purchases and freight expenses of $1.4 million to increase customer fill rates, additional production cost of $1.5 million, unique current period of customer allowances and rebates of $990,000, loss from CV axle and other product lines not supported to be sold of $5.8 million, a noncash purchase accounting inventory step-up adjustment in connection with the May 6, 2011, acquisition of Fenco of $373,000. 
 Excluding the above-mentioned adjustments, the under-the-car product line segment negative gross profit margin was 10.4%. We believe that with the implementation of our transition plan, including addressing future pricing and the efficiency of the manufacturing operation and implementing cost-saving initiatives for production, warehousing, distribution and logistics, the gross margin percentage for the under-the-car product line was essentially increased. 
 General and administrative expenses increased $6.2 million to $10.6 million for the third quarter, of which $6.1 million is for the under-the-car segment. This resulted in a net increase in G&A expenses for the rotating electrical segment of $111,000. Under-the-car product line segment general and administrative expenses includes $1.1 million of professional and related fees related to the integration process. Sales and marketing expenses increased $1.6 million to $3.4 million for the third quarter compared with $1.8 million for the same quarter of fiscal 2011. The increase of $260,000 for our rotating electrical business was primarily due to increased travel and commissions. 
 Under-the-car product line segment sales and marketing expenses were $1.3 million for the quarter. Substantial progress has already been made to reduce these costs.
 Impairment of fixed assets was $1,031,000 during the 3 months ended December 31, 2011. As mentioned above, in December 2011, we decided to discontinue the CV axle product line and shut down the related facility located in Bedford, New Hampshire. As a result, we recorded an impairment of approximately $1,031,000 for the 3 months ended December 31, 2011, which represents the write-off of the carrying amount of fixed assets. 
 Operating income for the fiscal 2012 third quarter for the rotating electrical segment was $5.7 million before noncash loss recorded due to the changes in the fair value of forward foreign currency exchange contracts and Fenco-related G&A and professional expenses compared with $6.6 million a year ago before noncash gain recorded due to the changes in the fair value of forward foreign currency exchange contracts. 
 Operating loss for the under-the-car segment was approximately $10.6 million after adjusting for contractual customer penalties, intersegment cost, premium inventory purchases and freight expenses, additional production cost, unique current period customer allowances and rebates, loss from product lines not supported, professional fees related to the integration of Fenco and a noncash purchase accounting inventory step-up adjustment in connection with the May 6, 2011, acquisition. 
 As a result, EBITDA for the third quarter for the under-the-car segment was negative $9.1 million, with depreciation and amortization expense of $1.5 million. EBITDA for the third quarter for the rotating electrical segment was approximately $6.6 million, adjusted for various noncash items and Fenco-related costs explained above, as well as standard inventory revaluation write-downs of $26,000 due to lower remanufacturing cost. In addition, depreciation and amortization for the rotating electrical segment for the quarter was approximately $857,000.
 Net of interest income, interest expense was $3.3 million for the third quarter compared with $1 million for the prior-year third quarter, primarily due to adding interest expense for the under-the-car product line segment since the May 6 acquisition of Fenco. For fiscal 2012 third quarter, the rotating electrical product line segment recorded income tax expense of $1.8 million, or approximately 38% effective rate. The company reported a net loss for its fiscal 2012 third quarter of $23 million or $1.84 loss per share compared with net income of $3.8 million or $0.30 per diluted share for the comparable period a year earlier. 
 Excluding contractual customer penalties, premium inventory purchases and premium freight expenses, additional production cost, unique current period customer allowances and rebates, loss from CV axle and other product lines not supported, a noncash purchase accounting inventory step-up adjustment, a noncash loss recorded due to the changes in the fair value of foreign currency exchange contract and Fenco-related G&A expenses, net income for the fiscal 2012 third quarter would've been negative $0.83 per share, which includes rotating electrical earnings per share of $0.20 per diluted share.
 At December 31, 2011, our balance sheet had $3.1 million in cash and $491 million in total assets. Motor Car Parts of America and Fenco have separate bank credit facilities. MPA had a $6 million term loan and $40.5 million borrowings on the revolving credit facility as of December 31, 2011, under the old MPA financing agreement. Fenco had a $10 million term loan and $47.7 million borrowings on the $50 million revolving credit facility. As mentioned previously, subsequent to the third quarter ended December 31, 2011, and January 2012, MPA entered into a new financing agreement including a $75 million term loan and an asset-based revolving credit facility of $20 million. 
 Post closing of the new MPA credit facility on January 18, 2012, MPA's cash balance was approximately $24 million with 0 borrowings on the revolving credit facility for net borrowings of approximately $51 million. Subsequently, as fiscal year ended March 31, 2012, MPA's cash balance was approximately $32 million, with a $75 million term loan with 0 borrowings on the revolver credit facility resulting in net borrowings of approximately $43 million.
 During the 9 months ended December 31, 2011, the rotating electrical segment generated $7.1 million of cash flow from operations based on $8.3 million net income for the 9-month period. For the period from May 6 through December 31, 2011, the under-the-car product line segment used approximately $52.5 million of cash from operations, primarily consisting of an inventory increase of approximately $26 million, which contributed to significantly increasing fill rates and loss from operations due to the negative impact of product line that has since been discontinued and aggressive legacy sales prices, higher customer allowances being provided and high manufacturing cost due in part to the under-absorption of overhead on lower production volume levels. As previously -- explained previously, as we integrate the Fenco business, we are addressing future pricing and the efficiency of the manufacturing operations and implementing cost-saving initiatives for production, warehousing and distribution as part of the turnaround strategy for Fenco.
 I will now walk you through the income statement exhibits in our press release distributed this morning, which we believe will make it far easier to understand the various expenses and adjustments for the third quarter and fiscal year-to-date ended December 31, 2011. If you can take a moment to turn to the income statement exhibit in the press release starting with the last page, we can begin.
 The income statement exhibits on the last 2 pages of the earnings press release present the 3 months ended and 9 months ended December 31, 2011, third quarter results of the operations for the rotating electrical segment. So on the last page of the earnings release, when you eliminate the effect of Fenco-related cost, noncash loss recorded due to the change in the fair value of foreign currency exchange contract and intersegment interest income, diluted earnings per share was $0.75 for the 9 months ended December 31, 2011 for the rotating electrical segment. It's calculated by taking the reported earnings per share of $0.66 and reducing net sales for intersegment revenue of $1.9 million and eliminating Fenco-related G&A expenses of $2.8 million, noncash loss reported due to the changes in the fair value of forward foreign currency exchange contracts of $1.4 million, sales and marketing Fenco-related costs of $238,000, professional fees, acquisition costs of $713,000, intersegment interest income of $1.7 million and tax adjustment of approximately $100,000. So adding the above-mentioned items totaling $0.09 per diluted share to the reported $0.50 per diluted share results in $0.75 per diluted share for the 9 months ended December 31, 2011 for the rotating electrical segment.
 Additionally, at the bottom of the exhibit for the rotating electrical segment, there was a calculation for EBITDA for the 9 months ended December 31, 2011. Starting with operating income of $15,902,000 and adjusting for the impact of intersegment revenue, Fenco-related and noncash items as previously mentioned, and depreciation and amortization expense of $2,634,000, rotating electrical EBITDA is $21.9 million. In addition, adjusted further for the noncash standard inventory revaluation write-downs of $1 million, FASB 123(R) noncash stock compensation expenses and severance costs totaling $53,000, and other Fenco-related costs, rotating electrical EBITDA for the 9 months ended December 31, 2011, was approximately $23.0 million.
 Now please turn 2 pages forward to the earnings press release showing both the rotating electrical segment and the under-the-car product line segment results of operations for the 9 months ended December 31, 2011.
 Consolidated operating results for the 9 months ended December 31, 2011, which represents -- which includes the period from May 7 through December 31 for the under-the-car product line segment, were impacted by Fenco-related expenses and noncash expenses, which are highlighted in the adjustments column. To recap once again, these adjustments include: contractual customer penalties and unique current period customer allowances and rebates of $2.3 million; premium inventory purchases and premium freight expenses of $3 million; additional production cost of $3.9 million; the effects of noncash fair value purchase accounting on Fenco's opening balance sheet for inventory step up adjustment of $3.8 million; Fenco-related G&A, bank financing and legal cost, as well as professional and related fees related to the integration strategy totaling $4.4 million; foreign exchange loss of $1.4 million; sales and marketing Fenco-related costs of $238,000; impairment of fixed assets of $1,031,000 related to the writeoff of the carrying amount of fixed assets at the CV axle production facility that was closed; and other professional fees of $713,000.
 Income tax expense reflects an additional 1% tax in the 9-month period due to certain nondeductible acquisition costs of approximately $100,000. Additionally, the loss from the under-the-car product line, which we do not plan to support, is approximately $8.5 million, which includes the cost impact of the closure of the CV axle production facility. So adding the above-mentioned items to the reported loss of $2.81 per share results in a loss of $0.61 per share for the 9 months ended December 31, 2011, for the combined rotating electrical and under-the-car product line segments.
 Additionally, at the bottom of the exhibit, there was a calculation for EBITDA for the 9 months ended December 31, 2011, which again includes from May 7 to December 31 for the under-the-car product line segment. Starting with consolidated operating loss of $20,775,000 -- $20,757,000 and adjusting for the impact of Fenco-related and noncash items as previously mentioned, and depreciation and amortization expense of approximately $6.7 million, consolidated EBITDA for the 9 months ended December 31, 2011, is $15.3 million. After further adjusting for $1 million noncash standard inventory revaluation write-downs mentioned above, EBITDA for the 9 months ended December 31, 2011, was approximately $15.3 million. In approximately another month, we look forward to reporting the financial results for the fiscal year ended March 31, 2012. 
 I would now turn the call back to Selwyn, who will make a few additional comments before we open the call to questions. 
Selwyn Joffe: Thank you, David. We believe our proposition for our business remains exciting. We've increased inventory levels to meet increased demand for our products and for new business, which continues to gain momentum. We continue to experience steady growth in both of our business segments. And we are committed to the highest levels of customer service in line with our MPA standards. We are still very excited about the future opportunities for Motorcar Parts, both in terms of the continued strength of our base business and the opportunities we expect to realize through the Fenco acquisition by leveraging our strong customer relationships, with a solid revenue base and a great selection of nondiscretionary under-car-parts. 
 Our Quality-Built brand name serving the professional installer segment continues to expand, and we remain focused on further leveraging key production advantages to expand our business further. The Fenco acquisition and other potential complementary future transactions underscore managements commitment to growth and enhancing shareholder value. We expect to more than double our sales for this fiscal year, and we are working hard to complete the Fenco transition plan to grow earnings. 
 In summary, the long-term market statistics for our industry remain favorable, and we are still excited about the opportunities. I appreciate your interest in Motorcar Parts, and I'm happy to answer any questions that you may have. 
Operator: [Operator Instructions] Our first question comes from the line of Jimmy Baker from B. Riley & Co. 
Jimmy Baker: First, the $16 million in improved profitability at Fenco that you expect, first, can you just repeat the timing of that recognition? I just missed it. And I assume that includes the $6 million in savings from terminating the CV axle business? But could you maybe elaborate a little on how you intend to get to that $16 million number just in terms of cost reduction versus, let say, improvements in pricing of your customers? And maybe within the framework of that you could just talk about the response from your customers on product line terminations and your product -- your pricing efforts? 
Selwyn Joffe: Let me let David address the cost savings first and then I'll talk about the customers. 
David Lee: Well, the $16 million savings includes what we believe will be future savings realized from February through the end of the first quarter of this current fiscal year. And you wanted to know if that included the discontinued product lines? That does not include the discontinued product lines. 
Jimmy Baker: So the $16 million is incremental to the $6 million that you discussed on the last call from -- that you would save by terminating the CV axle business? 
David Lee: So going forward, that would be $16 million. 
Jimmy Baker: Right. So an additional $10 million in other, let's say, categories or ways that you've found to extract cost? 
David Lee: No, the $16 million additional. 
Jimmy Baker: Okay. Understood. And the response from customers? 
Selwyn Joffe: Well, essentially, we've eliminated the CV axle business. So we certainly will not ever let our customers down. Our #1 priority at MPA is to make sure we don't let our customers down. So we communicated the transition. We made sure that there was supply all the way through the customers finding alternative suppliers. And so the response actually went quite well with the customers and they have successfully transitioned to new supply. 
Jimmy Baker: Well -- and maybe you could just close that with any pricing efforts on your behalf to kind of raise prices, or more appropriately, price some of the continuing Fenco line? 
Selwyn Joffe: Yes. I think, to be honest, in certain areas there's -- certainly the customers have been responsive to that. We believe that we'll be able to take prices up. We have secured price increases for a number of our product lines across the board. And of course, getting price increases is never easy, but I think if you have rational pricing and competitive pricing, you can accomplish it. I mean, I think the legacy pricing of the business has been just too aggressive. And so we intend to, while remaining extremely competitive, we intend to normalize the pricing in the marketplace. 
Jimmy Baker: Okay. And Selwyn, I think you mentioned that you have the ability to downstream another $20 million or so to Fenco, but then I think you also noted that you already expensed the charges or the overwhelming majority of the charges needed to achieve your incremental profitability targets? Can you just maybe help me reconcile that and... 
Selwyn Joffe: I think from the $16.2 million plus the loss of the discontinued operations on CV axles, almost all of that has been expensed already in -- through the end of the December period. We intend to take out at least another $10 million of cost, so those expenses related to that will have to be expensed as we take those costs out. So we should see, starting in the June quarter, we should see improvement in our numbers. And I think as we get through the end of October, where more of these things will have been more fully baked in, at that point, we should see significant improvement in the numbers and then we feel like we're still on track to get to our May target. 
Jimmy Baker: Okay. I just have a couple of more and I'll back out and let someone else ask questions. I guess, could you just help maybe -- in fiscal year '13, what level of cash costs or, let's say -- and combine that with maybe necessary investments in working capital that we should be expecting as kind of onetime charges here? 
Selwyn Joffe: Onetime charges? I'm not sure I understand the question, but let me try and paint a picture and see if this answers your question. We expect an additional working capital requirement in Fenco of around $20 million, and we expect to continue to grow EBITDA and cash flow on the base business at MPA. I don't know if that answers your question. I wasn't totally sure exactly what you're asking. 
Jimmy Baker: So we still have the $20 million in inventory build or working capital build, but any additional just cash cost, that would be kind of onetime items that we should... 
Selwyn Joffe: They will be. I mean, because there's -- obviously as we rationalize the expense structure, I mean, there's going to be some onetime cost -- cash costs of doing that. 
Jimmy Baker: But there's no estimate for that at this time, or that you are willing to share? 
Selwyn Joffe: No. I think in the full -- in that $20 million of capital, we were hoping that that $20 million in capital would include any working capital adjustment and the onetime cost. 
Jimmy Baker: Okay. And then lastly, I think David mentioned a negative impact in the quarter from aggressive pricing in the rotating electrical business? Could you just... 
Selwyn Joffe: No, no, no. Not at all in rotating electrical. That's strictly applied to Fenco. We have not -- the pricing structure in rotating electrical has not changed at all, and we expect our margins again to normalize around the 32% level and expect to continue sales growth. Go ahead. David has a comment. 
David Lee: And Jimmy, if I can clarify once again, the $16 million of enhanced profitability mentioned earlier in the call, just to confirm again, that does not include the savings from the discontinued product lines. 
Operator: And our next question comes from the line of Mark Tobin from Roth Capital partners. 
Mark Tobin: You had mentioned your target. Selwyn, can you provide some color on, I guess, the targets in -- if there's been any changes as far as the trajectory of how you're seeing yourself get there? 
Selwyn Joffe: Well, I'll tell you, certainly this quarter was somewhat of a setback in terms of understanding the cost structure. We knew that we had a soft quarter. I think as the Fenco numbers are softer than we anticipated, I think a lot of that differential in our expectation came from -- we just came off a very strong sales quarter with Fenco. And generally when you have returns of product, and you come off with strong sales quarter and then you going to weak sales quarter, the returns as a percentage of the current quarter get higher. So we think we're experiencing a sort of the perfect storm in this quarter. But I could tell you that our expectations continue to be that we will be able to hit the targets that we've announced before, which is we expect the $35 million base EBITDA results for our base business and we expect to hit by May of next fiscal year approximately $20 million in EBITDA in the Fenco business. 
Mark Tobin: Okay, that's helpful. And as far as the reporting, David, you had mentioned reporting your year end by a month out, which implies that it is on time. Is the review complete at this point, or can you give us an update on the accounting side? 
David Lee: Yes. So subsequent to the March 31 fiscal year end, the rotating electrical segment has already taken place. And since we have this finished, the reporting for the under-the-car product line segment -- we have already begun working with our auditors to review the year end numbers and plan to file by the due date of June 14. 
Operator: And our next question comes from the line of Matt Sherwood from Cooper Creek Partners. 
Matthew Sherwood: Just wanted to dig in to that $16 million a little bit deeper. The question was asked, but what's the baseline Fenco earnings? Is it 0 EBITDA or is it the last 9 months' loss of, say, $6 million or EBITDA before... 
Selwyn Joffe: That is the question that we're still trying to come up with a fundamental answer. I mean, right -- and my comments a little earlier is that this quarter loss was greater than we expected on the Fenco profit line. We need to dig in and understand just where we are from a normalized perspective. And that -- certainly as soon as we get comfortable with that, we'll give the public more guidance. By that is a very significant question. I don't think it's a question we're capable of answering accurately right now. And that certainly will affect the target EBITDA for me. We -- as we transition our accounting systems onto the new -- our new platforms we'll be in a far better position to give you -- to give more effective immediate guidance. I mean, it is very disappointing and -- that we were not able to get the data as fast as we need and as accurately as we need on a timely basis so that we can understand what that exact base business is. From our diligence process, we -- certainly, when we completed the diligence, we assumed between a 0 and $5 million EBITDA base business, and we certainly hope that that's still the case, although this quarter does not reflect that. 
Matthew Sherwood: What do you think a worst case scenario would be for the Fenco profitability before cost improvements? 
Selwyn Joffe: I think that worst case scenario is assuming the 9 months starting point. I don't think -- we certainly believe the numbers will get better in this quarter and so we think that's the worst case scenario. But I think it's a little early for us to comment, but that's certainly what we think the worst case scenario is. 
Matthew Sherwood: Then, and just -- I know the question was asked, but just to go ahead at it differently. In terms of the phase-in of the cost cuts, the $16 million, is half of it done through this February cost-cutting and termination of the CV axle line? Or, just can you give a little color on the phase-in. You said between February and the third quarter, but that's a big period. 
Selwyn Joffe: All right. So, yes, we can give you a little bit of an idea. I mean, it's not all -- at least 25% to 30% of that and I'll let David take it in more detail, but 25% to 38% of it will occur in the third quarter, in that September, October timeframe. David, do want to -- can you offer more? 
David Lee: We had talked about those savings coming from February 2012 through the third quarter of fiscal '13. So I would say it will be spread out. It's not going to be... 
Selwyn Joffe: It looks fairly consistent. 
David Lee: Yes. Yes. 
Selwyn Joffe: So yes, a fairly consistent build starting February 1 through October. 
Matthew Sherwood: So about a third, a third, a third, it sounds like, sort of quarter-by-quarter. 
Selwyn Joffe: That's probably a good assumption, yes. 
Matthew Sherwood: All right. And then last question, just on this right of first refusal to buy back Mel Marks' [ph] shares, can you talk about that? 
Selwyn Joffe: Yes. I think Mel is in, certainly in later stages of life and he's in the process of planning his estate. And we want to make sure that to the extent that any shares are put on the market from him, that the company has first right of refusal so that there's not this perpetual overhang [ph]. We don't have a blanket authority to buy back shares from our lender, but our lender has agreed to evaluate buybacks as we request as we go down the road. 
Matthew Sherwood: And you have $50 million in liquidity? 
Selwyn Joffe: Yes. We have $50 million plus in liquidity right now. 
Operator: [Operator Instructions] Our next question comes from the line of Jay Kumar [ph] from Midsao. 
Unknown Analyst: What's the line item called customer core return accrual? You had a lot of returns? 
David Lee: The customer core return accrual is for the remanufacturing business when the company sales a core and they value add a unit portion or a complete finished good to a customer, and you charge that customer, the customer has a right of -- right to return that core for a credit in the future. So on our balance sheet, we established an accrual for that liability that we would pay the customer when they return the core portion of the finished good in the future. 
Selwyn Joffe: That core portion relates -- that's the inventory that we need as component inventory to rebuild those items. 
Unknown Analyst: Okay. It's not something that you sold, then you would return -- going to come back and you're holding it [indiscernible] something like that? 
Selwyn Joffe: No, no. It's part of our exchange program. So the whole concept of remanufacturing is you sell the unit, and what you do is you offer the customer incentive to get the ultimate consumer to return the old unit so that you can remanufacture that. And that's part of your inventory. So you want as high a possible return number there as possible. 
Unknown Analyst: Okay. And $16 million, is it a combined Fenco and the other business? Or is just the Fenco business? 
Selwyn Joffe: Fenco alone. 
Operator: And we also have a question from the line of George Berman from JP Turner Incorporated. 
George Berman: Can you maybe comment a little bit on what things have gone right in your view and what kind of synergies that you had expected have come to pass or you feel are coming to pass shortly in terms of adding customers to your MPA line versus Fenco and vice versa? 
Selwyn Joffe: You know what? I'm glad you asked that question because we're getting mired in the detail of some poor numbers and I appreciate that question. I would tell you that most excitedly, and I mentioned it a little bit in my presentation is that there are product lines within the Fenco acquisition that are doing fantastic. We're experiencing tremendous growth in our brake offerings. We're experiencing tremendous growth in our driveline business. We expect to see high double digits and I mean 10% to 20% growth in these businesses. And we are profitable in those businesses today, and expect to make them more profitable. So as far as the strategic value of what's happened, I mean, strategically it's been -- despite a lot of complications and the integration, the strategic value of having these product lines has been tremendous for the company. Just left in the profitable product lines that we have, I mean, we're still in a position to double revenue and to have existing profitable product lines. We hope to convert the others to being profitable. And the demand for that product, not only on an existing, same customer basis, because we are seeing our customers, as we have enhanced flow rates and our quality levels have improved dramatically and service levels and our category management is improved dramatically, our customers are starting to see tremendous market share gains, which is excellent, and that's what we're looking for. And we haven't really begun marketing our products for new sales opportunities. I think this week, we are launching -- we have our big sales meeting and we'll be launching strategies to take these profitable lines and expand them further to the rest of our customer base. And we're excited about that opportunity. I mean, we've got a lot of work to do to fix some of the metrics in the nonprofitable lines, but the profitable lines are very -- are a breath of fresh air. And we think that's -- certainly on a worst case scenario, those profitable lines are -- alone, will make this worthwhile. 
George Berman: Great. So while slow, it does seem to all come together for you? 
Selwyn Joffe: Yes. I think the premise of acquisition continues to be a sound one. We certainly are not happy with the results. We find them unacceptable. And we are moving rapidly to make the changes to accelerate seeing results like this repeat. So we think that the ability and the flexibility that the new financing has given us has deleveraged us fairly nicely and a positive cash flow in our base business and the banking relationship that the Fenco bank has been tremendous in working with us. And we believe that we can execute and get the transition completed. 
Operator: And we also have a question from the line of Jacob Muller from AYM Capital. 
Jacob Muller: Can you just comment about the most recently completed results at the Fenco subsidiary compared to the currently reported quarter? 
Selwyn Joffe: Yes. Unfortunately, we're not in a position to give you any guidance on those numbers because of the delay in the quarter. As you can imagine, we are still now going through the review process of the final quarter. The guidance that we are giving as we expect sales to, certainly on a combined basis, to be north of $90 million for this quarter and are seeing, certainly seeing a rebound in the business. We expect the numbers -- and again, this is preliminary, but we expect the numbers to be better than this quarter. 
Jacob Muller: What kind of normalized gross margins are you're targeting at the Fenco subsidiary? 
Selwyn Joffe: 20%. 
Jacob Muller: And on the financing side -- and the recent financing was obviously quite dilutive and hit the stock pretty hard. What are your thoughts about financing these going forward? Will letting [ph] more capital raises be necessary or do you believe that you have enough to get you to where you want to go? 
Selwyn Joffe: Yes. We believe we have enough. We expect to -- we do have a commitment from our lender to increase the term loan by another $10 million should we decide to do that. And so we believe that -- we believe that there's more than adequate liquidity. 
Operator: And we also have a question from Justin Putnam from Talanta Investment. 
Justin Putnam: I just wanted to follow on that last question and see -- maybe you can give a little more detail about the circumstances around the private placement [indiscernible]. 
Selwyn Joffe: Yes. I think the key strategy for us around the private placement was to try and limit the amount of debt and just -- we felt like the amount of debt levels -- we're just so resistant to taking on additional debt and to be more conservative in taking on equity. Certainly, it was dilutive, but we feel like the cost benefit of having the equity in the near term will certainly far surpass the dilutive nature of the raise. And when you look at the cost of the debt capital in comparison, and you look at the relative dilution compared to raising additional debts and the interest expenses that we would have to pay relative to the equity, we felt like that certainly that the risk reward in the equity was a far better decision. 
Justin Putnam: How did you come up with that amount? And also, what was the process involved in picking people to participate in that offering? 
Selwyn Joffe: Well, the amount was -- we had a requirement in our existing loan agreement that we need them to raise $15 million of junior capital to the senior lender. And in return for that, we would be able to downstream $20 million of capital into Fenco. 
Unknown Analyst: Okay. And the second part of the question? 
Selwyn Joffe: I'm not sure I understand, what's the second part of the question? 
Unknown Analyst: What was the process involved in picking the participants in that private placement? 
Selwyn Joffe: We hired an underwriter and they did the offering for us. 
Operator: And this concludes our question-and-answer session for today. I would like to turn the conference back to Selwyn Joffe for any final remarks. 
Selwyn Joffe: I just want to thank everybody, appreciate everybody's patience. We're certainly working diligently and expeditiously to complete this turnaround and we look forward to better results and more timely filings. I appreciate everybody's patience and commitment. Thank you. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone, have a good day.